Operator: Good day everyone and welcome to the AmeraMex 2016 Year-End Conference Call. Today's call is being recorded. At this time, I would like to turn the conference over to Marty Tullio. Please go ahead.
Marty Tullio: Good morning, everyone. Before we begin today's call, it’s important to remember that the statements made in this conference call that relate to future financial results, markets, growth plans or performance are forward-looking statements and involve certain risks and uncertainties associated with demand for both products and services and the development of markets for the company's products and services. As you know actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex undertakes no obligation to release publicly the results of any revision to these forward-looking statements that may be made to reflect events or circumstances after today’s call or to reflect the occurrence of unanticipated events. Now I would like to turn the call over to AmeraMex CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, how are you Marty?
Marty Tullio: Good.
Lee Hamre: Good morning everybody and thanks for joining us this morning for our year-end conference call. With me today are Mike Maloney; our Chief Operating Officer, Tracie Hannick, who is our CFO and of course Marty our Board Secretary. I would like to thank all of you our shareholders for your continued support as we fulfill our goal of increasing shareholder value and becoming a fully reporting company. The road has been bumpy, but we’re almost there. Tracie will provide an update for you. Before we provide an update and answer shareholder questions, I would like Tracie to provide an overview also of our financial statement for the year ended December 31, 2016. These financials were disseminated earlier this week and they along with our year-end disclosure were uploaded to the OTC marketplace, Tracie?
Tracie Hannick: Thanks, Lee. Good morning everyone. I'd like to provide a brief update on the ongoing audit. Our auditors have completed the audit of our 2014 and 2015 financial statements. Work has commenced on preparing a Registration Statement Form 10 to file with the SEC. Before we can submit the Form 10 a review of our interim financial statements and an audit of our 2016 financial statements will be required. Our auditors are in the process of preparing those. Our lawyers plan to file the Registration Statement with the SEC as soon as possible, then the SEC comment process will begin. The process should nearly take 90 days, but can last many months. Once the process is complete, AmeraMex will be a reporting company, which is a requirement before applying to list on the OTCQB. As announced earlier, revenue for the year ending 12/31/2016 was $10.1 million compared to revenue of $8.2 million reported for the 2015 period, this is an increase of 24%. Gross profit for the year increased 17% to $4.6 million compared to $4 million for the 12 month period end 2015. Gross profit as a percentage of sales for the year was 46%, down slightly when compared to 49% for the comparable period. Net income for the 12 months period was $1 million compared to net income for the comparable period of $1.5 million. This is mainly due to the accounting and legal expenses incurred for the SEC audit. Our balance sheet for the year is strong with total assets increasing by $1.3 million due impart to increased inventory and new heavy-haul trucks. Our total liabilities increased slightly approximately $72,000 for the year. I would like to now turn the call back to Lee.
Lee Hamre: Okay, I'm back. We had a strong fourth quarter and we're now pleased to report our sixth consecutive year of profitability. As we discussed in our last conference call our strategy is to generate more sustainable cash flow. The goal is to increase our equipment rental pool from $4 million to $10 million by the end of 2018. Based on conversations with customers and the latest industry projections, we should be able to drive revenue with the larger equipment rental pool. Small to medium sized construction companies have sold much of their equipments and when they contract for jobs they're renting not buying the needed equipments. Our rental equipment pays for itself and we can resell at the end of the rental agreements it's a win-win for us. Now an update on African opportunities, our core business in Africa we're continuing to provide proposals to companies in the Congo and in Nigeria, which we will announce when awarded the funded contracts. In Mali, we over a year and half ago delivered four machines to the construction company there and we are discussing four additional machines now, their refurbished equipment about two years old. We've been told by that customer that we're about a month or two away from being able to place the order, they're getting ready to start another new contract where they’ll need these machines. 10 days ago we spoke with the customer again, and he reiterated that probably by May or June. We did sign an agreement to represent a manufacture of tactical vehicles for Western African countries, they've just updated our trace certification at their cost. There are a few snags being worked on as we represent other manufacturers that are in direct competition with this manufacturer. This relationship is important is it allows us to become more competitive in Africa and to bid on opportunities more easily financed. A core business wrap up. Currently our pipeline for core business contains potential U.S. business, U.S. Government proposals, international proposals for Africa and Central America. We had potential customers from Ecuador, and Vietnam and to look at equipment in our yard as well as stuff around we have available. We received one order from Ecuador, but couldn’t negotiate a reasonable deal with the Vietnamese company. We have just been informed that we have an approval from a leasing company for $600,000 in machines currently in our inventory. This deal has been completed now, the machines have been delivered and funding just took place. They are waiting for a signed contract still in Guatemala, for a deal we started at the end of 2016. We have a signed order, they requested a lease, we arrange a lease in Guatemala from a Guatemalan Bank and we’re awaiting the signature on the lease to be able to ship the equipment. That particular order is about $500,000. We are also excited with the prospect of becoming a fully reporting company. The audit coupled with up listing to the OTCQB and IR campaign will benefit all of you shareholders. With that said, we’d like to begin the Q&A session of today’s call. Operator would you like to begin taking questions.
Operator: Thank you. [Operator Instructions]. I do have one question, I’ll open that line, it comes from Bill Phil, a private investor.
Unidentified Analyst: Yes, so I was trying to find out about the audit. Has there been some issues that have delayed this at all, is the things -- it sounds that perhaps this is going to be completed sometime ago, at least that by the end of the year or into the beginning of this year. So I was curious, why there was delay, if there was a delay.
Tracie Hannick: 2014 and 2015 are completed. They are in with the Form 10 that’s in process of being filed. We obviously couldn’t finish 2016 audit until year-end was done. So we are in the middle of working on that.
Unidentified Analyst: Okay. So we have to wait 2016 audit to get done to apply to OTCQB.
Tracie Hannick: Yes. And we are in the process of that.
Unidentified Analyst: Is that because it needs to be three years.
Tracie Hannick: Yeah it needs -- it has to be fresh and because time has left. But since the year-end of 2015, we have to complete 2016 and submit that with our Form 10.
Unidentified Analyst: Okay. The other question I had is, it was mentioned earlier about an IR campaign. Obviously the stock prices doesn’t really make a lot of sense, maybe the audit will help. Can you go into any sort of detail of what that IR campaign means and how that could well affect the stock or bring attention to the stock or I don’t know if institutional investors can get involved at this point or at that point even after the audit and OTCQB? But can you give us an idea of what you see coming? And then also I didn’t hear anything about the Menzi Muck equipment or deals there, so I was curious how that’s going?
Marty Tullio: Okay. Well let’s take the IR campaign first. This is Marty. One of the things that we have to do before we can benefit from an IR campaign, is to get the audit finished. Institutional people actually can buy the stock once the audit is done. They can put it in funds within their organization. Once we have the audit done, we can now start going out to retail investors and through different conferences throughout the country here. Particularly there is conferences in Florida, New York and California that reach out to people who invest in small companies, small growing companies. So we have that lined up and we have to budget for that. But that's one if the things that will get us more eyes on the company just being listed on the OTCQB gets more eyes on the company. So, if we continue with the growth like we’ve had the 24% growth over 2015 that gets more eyes on the company. And I think that based on past experience with other small companies, we’ll start to see a better performance in the stock price and more shareholder involvement. With Menzi Muck I’ll let Lee handle that.
Lee Hamre: Yes, we do have some successful Menzi Muck, we sold one new machine and it’s doing a fabulous job for the customer. We have two more in inventory now that are here at the office in our yard. We have demonstration scheduled for three or four different customers. We’ve done a full one day demo for a customer. They’re [indiscernible] that does work for Pacific Gas and Electric. One of the jobs that Menzi Muck is really good for is clearing brush under power lines where it’s steep ground. Because you can go in and clear the brush and come back out without tearing up the ground at all. In the past they used excavators on tracks, which were damaging the ground and they had to go back and repair their tracks, which would take a day to get in and a day to do the work and a day to get out while the Menzi Muck has done three times the distance without damage. So it is an expensive machine, but it’s -- we’re getting a lot of interest from people and we’ve got I mean inventory to do demonstrations. So, I’m excited about it. If anybody on the call wants to see what a Menzi Muck is and what it will do. There is a number of videos on YouTube just look up Menzi Muck excavator and you can you see what the machine is capable of doing.
Unidentified Analyst: Okay. I don’t think I have any other questions at this time. Thank you.
Lee Hamre: Thank you.
Operator: [Operator Instructions] And it’s appears there are no further questions at this time.
Lee Hamre: Okay. Well, thank you very much and we'd like to thank everybody for participating in the call and for the questions and continued support. We look forward to speaking with you when the second quarter results are disseminated. And again thank you very much.
Operator: And that conclude our conference today. Thank you all for your participation. You may now disconnect.